Presentation:
Operator: Good afternoon, and welcome to the Sonoma Fiscal Third Quarter 2017 Conference Call. My name is Brian and I will be your coordinator for today's call. At this time all participants are in a listen-only mode. At the end of the call, we will be holding a question-and-answer session with the company's management. As a reminder, this conference call is being recorded for replay purposes. I will now turn the call over to Mr. Dan McFadden. Please proceed, sir.
Dan McFadden: Thank you, Brian. Good afternoon and thank you for joining us today. With me on the call are our CEO, Jim Schutz; and our CFO and COO, Bob Miller. We will open the call with Jim's update on our business strategy moving forward followed by Bob Miller's review of our financial results for the third quarter. This afternoon, Sonoma issued a press release detailing fiscal third quarter 2017 financial results and recent corporate developments. A copy of the release can be downloaded from our website, which is www.sonomapharma.com, or you can call Investor Relations at 425-753-2105 and we will be happy to assist you. Before we begin, I remind listeners that this conference call contains forward-looking statements within the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are identified by use of words such as expect, to expand, would and anticipate among others. These forward-looking statements are subject to certain risks and uncertainties that could cause actual results to differ materially, including risk inherent in the development and commercialization of potential products, the risk that potential clinical studies or trials will not proceed as anticipated or may not be successful, or sufficient to meet regulatory approvals, or receive the regulatory clearance or approvals. Also the company's future capital needs and its ability to obtain additional funding and other risk detailed from time to time in the company's filings with the Securities and Exchange Commission including the quarterly report on Form 10-Q and the annual report on Form 10-K. Identified product applications and/or uses are intended to highlight potential applications for the investment community and does not infer that the company is marketing for these indications. The company does not provide any assurances that such applications will receive regulatory approvals. Sonoma disclaims any obligation to update these forward-looking statements. So with that, I will now turn the call over to Jim Schutz, our CEO.
Jim Schutz: Thank you, Dan. For today's call, I'll cover just a few topics during the next six minutes and then Bob will jump into the numbers for the quarter in detail. And then finally, we'll open the call for Q&A. For my portion of the call, I'd like to share just a few thoughts on why we are here at Sonoma, why we exist as a company. And then switching gears spend just a few minutes on an upcoming significant milestone for our growing company. So first, why are we here is a company? What gets us out of bed early in the morning? You may remember that with our recent name and ticker change we also started pounding the drum about our purpose, a relentless passion for healing and that is truly our reason for being; to develop, market, and sell world-class healthcare products that demonstratively improve patient outcomes. A great case and point in highlighting this passion for healing. A 79-year old grandmother of four living an hour or so west to New York City, in Essex County, New Jersey, took a nasty spill between Thanksgiving and the December holidays. No broken bones, thank goodness, but she suffered a large gash on the bridge of her nose. Ideally for patients suffering a wound that require stitches, most physicians recommend that the womb not remain open for longer than 6 to 8 hours after the injury occurs. But in this case the 79-year old did not go see her general practitioner or head to the emergency room but rather waited to see her dermatologist about a week after her fall. By the time her dermatologist saw her the patient presented with significance scabbing; the dermatologist told us after the fact that she would have preferred to have seeing the patient earlier as the wound should have been stitched, "too late for stitches, significant scabbing and a likely scar that might never disappear," the physician wrote a prescription for our Celacyn, scar management product based upon our sales reps ground work. Our sales reps use marketing literature highlighting that Celacyn can be used at the beginning on stitches, glue or staples without concern of systemic absorption. Many of the competitive products in scar management space are nothing more than silicone; and as you may know, you cannot use silicone gel or sheets; in fact it's contra-indicated to use silicone until the wound is completely sealed. So your sales rep had been enlightening this physician for months filling to physician sample closet, showing iPad based marketing literature, highlighting the safety science and clinical studies for our Celacyn scar management gel. And the physician had never written a prescription for it, until now. So armed with the prescription for Celacyn, the grandmother patient filled a prescription in her local drug store and then presented herself back to the dermatologist office three weeks later. The physician described the former wound as beautiful, pink, and healing in a fashion that would likely not scar. The physician further said and we will very much like this, that Celacyn helped erase the lag time between injury and first appointment. The physician of course was going to do everything possible as a good dermatologist would do to make this patient beautiful again and our problem was as the physicians said highly impactful. So having earned the trust of this physician that Sonoma's dermatology products can and will make a difference for her patients, this dermatologists is now sampling just about every product in our sales bag, all showing positive signs of progress in treating a variety of dermatology conditions. At least in this instance, Sonoma helped our passion to heal, shine brightly, and made our physician customer look even smarter. So this example and others like it over and over is how we can make Sonoma a great company and fulfill our passion to heal. From a financial perspective what we need to do next to make Sonoma even stronger is to execute on our plan to breakeven. Sonoma's foundation in dermatology is solid, we now have 700 plus heavy prescription writer [ph] in the country which we define is physicians writing 10 or more prescriptions per month. We have a growing sales force that will be 30 plus strong by the end of March. With eight products in the bag we have a solid pipeline of new products coming from our own R&D and from licensing and we have a growth rate of 19% quarter-over-quarter for the last four quarters of prescription stilled at the pharmacy counter. And thanks to Bob, in our recent Latin American news we are fully funded with cash to sufficient - excuse me, we are fully funded with cash sufficient to run operations without diluting shareholders. So what's next; breakeven company-wide. Bob created this great metric for simple guided minded guys like me that we can measure weekly, monthly, quarterly and here is his metric. For the quarter ending September 30, each of our legacy 17 sales reps averaged 800 plus prescriptions filled at the pharmacy counter during the quarter. Now looking forward to achieve breakeven company-wide, each of the original and the additional 13 new sales reps need to generate a 1,000 prescriptions, on average billed to the pharmacy counter each quarter. For our legacy reps from 800 to 1,000 prescriptions filled each quarter. For our new wraps from zero to a 1,000 prescriptions filled each quarter. Our entire team is focused on this achievable realistic and measurable metric. Our compensation strategy going forward will focus on this metric. And for those of you without access to IMS data via Bloomberg or some other portal to track our quarterly prescription, we'll keep you posted on our progress. So I shared a thought or two of about our purpose as a company, our relentless passion for healing and shared our next big goal for Sonoma and the metrics we will use to achieve breakeven. So Bob with that I'll hand the microphone to you.
Bob Miller: Thank you, Jim. I'll first discuss a review of the financial results of our ground strategy. Secondly, our overall financial results for our third quarter ending December 31, 2016. And finally talk about the financial impact on Sonoma of the sale of our Latin American assets to Invekra, to subsequent hiring of 13 new sales people and our drive to commercial EBITDA breakeven. What have been the financial results of our dermatology focus starting in October 2014 through our third quarter ending December 31, 2016? As a preface to discussing these dermatology results starting from zero, direct sales revenue in late 2014, we have built a strong dermatology foundation over the last two plus years, upon which to continue to grow in the future. There are several ways to measure our success in the dermatology market. One is through the sales of our products to our wholesalers, which are recognized as revenue when shipped to them. This is a common way of recognizing revenue. Our total U.S. product revenue was $646,000 for the December quarter 2014, $1 million for the December quarter 2015 and $1.7 million in the December quarter 2016, up 65% over the same quarter last year. This method of recognition tends to be driven by the load ins to the wholesalers. More specifically, our U.S. dermatology net product revenue was $1.3 million for the quarter ending December 31, 2016, compared to $676,000 in the same period last year, an increase of $577,000 or 85%. While we recognize our derm revenue when we shipped to our wholesalers, a second method to objectively gauge the Sonoma dermatology performance is the number of prescriptions filled for patients via the pharmacies, multiplied times the price paid to us by the wholesalers. This is traditionally called 'demand dollars.' This information is available to the public for a fee via several well-known databases. According to the Symphony, one of the database's monthly data, the total prescriptions filled by patients via the pharmacy times the price paid to the wholesalers for all of our derm products was $2.4 million for the December 2016 quarter, up $1.8 million from $631,000 for the same period last year. This represents an average quarter-over-quarter growth of 41% for the last four quarters. The growth for the December 2016 quarter over the September quarter was 15%. The December quarters have historically grown at slower quarter-over-quarter growth rates than the other quarters due to seasonality and the higher number of holidays. One way to augment this revenue growth trend is via the introduction of new products. In fact in late March 2016, we sold and loaded in Ceramax, a skin repair product for atopic dermatitis to the wholesalers. In September 2016, whether we loaded in SebDerm to the wholesalers and in the December quarter, we loaded in a combination pack of Alevicyn and Celacyn. Our target is to launch at least one new derm product per quarter. Moving now to our review of our financial results for the third quarter fiscal year 2017 ended December 31, 2016 and covering only the highlights with the details in today's earnings press release. Total revenue was $3.4 million for the quarter ending December 31, 2016, compared to $2.5 million in the same period last year. Total product revenues of $3.2 million were up 43% over the same period last year with strong growth in U.S. dermatology, animal healthcare markets and in products sold to our new owner of the Latin America assets at a reduced price. Products sold to the new owner is temporary until they set up their manufacturing facility. More specifically during the third quarter, U.S. product revenue increased $661,000 or 65% to $1.7 million, mostly related to an increase in dermatology revenue and higher sales to our new animal healthcare partner. Total international product revenue was up $301,000 or 25% with increases in Mexico and Asia, partially offset by decreases in Europe and the Middle East. The gross margin have been significantly impacted by the historical separation of the discontinued operations and the very low margins of the Mexico sales to Invekra at a reduced price. Operating expenses minus non-cash expenses for the December quarter were $4.3 million, up $241,000 or 6%, compared to the same period last year. The increase in cash operating expenses were due to the higher sales marketing and administrate of expenses in the United States related mostly to the cost of our direct derm sales force. On the balance sheet, our cash position at the end of December was $20.5 million, compared to $3.1 million on September 30, 2016 and our debt was almost zero. Due to the sales of our Latin America assets, we added $18 million to our cash position on October 28, 2016 with another $1.5 million placed in escrow recorded on our balance sheet as restricted cash and expected to be released before the end of March this year upon delivery and testing of the manufacturing equipment. What is the impact of the sale of the Latin American assets on our primary objective of achieving commercial EBITDA breakeven? Due to the recent sale of the Latin America business and the rapid hiring of derm sales reps we are in a period of transition for the March and June quarters, we will not provide quarterly guidance for those quarters. However, we will make the following comments about the financial impact on Sonoma on the sale of our Latin American assets, the hiring of new sales reps and our drive to commercial EBITDA breakeven. The strong cash position of $20.5 million enables us to quickly expand our dermatology sales force from 17 at the end of September to about 30 by the end of March. We believe that this quick expansion is the fastest way to achieve break even and we expect to use $6 million to $8 million of our $20.5 million of non-diluted cash to achieve this breakeven. What are the key assumptions of our sales rep driven revenue growth? Our history is that it generally takes the sales rep six to nine months to breakeven, even on the quickest breakeven time was three months. Also during the first six to nine months, the sales reps have the fastest growth and thereafter the growth tends to be slower. Thus, we have two general groups of sales reps - one, we have 17 reps at the end of September which are gone, up the initial sales rep and on average above breakeven, but have a slower growth rate. I will refer to these as the mature for the legacy sales group. In the second group, we have 13 new sales reps which are just starting, which will have a high growth sales rep stage for the next six to nine months. Looking at the high growth sales reps, we can use our early history to provide us with a benchmark for the future. In the early stages, our expansion in dermatology with 10 sales reps, a 30% turnover and a starter product portfolio of three or four products. The average monthly sales rep grew from 35 prescriptions per month per rep in November of 2014 to 250 prescriptions per month per rep in July 2015 - nine months later. We believe that we can achieve a comparable rep per sales rep or better as we add 13 reps in the near future and they have a product portfolio of eight products. Looking at the mature sales reps, 17 reps as of September 30, had an average and as Jim mentioned earlier, average of about 810 prescriptions filled in the September quarter generated a positive return and will continue to grow but in lesser quarter over quarter growth rate than the new sales reps. The gross margins will improve as we increase the U.S. dermatology revenue, which have 80% to 85% gross margins and at a breakeven level, we should have a blended gross margin in the range of the mid 70%. Looking now at the big picture in order for us to achieve EBITDA breakeven, we estimate that our total net revenue needs to be in the range of $5.5 million to $6 million per quarter and if the prescriptions filled need to be in the range of 30,000 to 35,000 per quarter. Fairly, our prescriptions for the December quarter were about 13,000 and have been growing at an average quarter-over-quarter growth rate for the last four quarters of 19%. If our prescriptions fill continue to grow at a quarter-over-quarter average growth rate of 15% to 20%, then we should be able to reach the breakeven range, which would be in the range of March to June 2018 time frame. As mentioned on previous calls we continue to believe the Sonoma remains an even stronger investment candidate for the value investor, who is also looking for strong revenue growth especially with the cash position of $20.5 million even after a 30% growth in our stock price over the last three weeks. With respect to valuation, I like to end with three points - one, our cash position of $20.5 million is close to our market cap of around $28 million or stated differently; our cash value per share of $4.85 in book value, up $5.42 as closed to a recent stock price. Number two, our revenue growth was strong in the recent past at 43% for the last nine months ending December 31, 2016, compared to the same period last year. More specifically in dermatology as we've mentioned earlier, average quarter-over-quarter growth rate demand dollars for the last four quarters has been 41%. In future, investors should expect to see continued strong dermatology revenue growth as the additional 13 sales reps follow and already demonstrated sales rep. Number three, our valuation should continue to increase as we get closer to breakeven. Also at that time of breakeven, our net revenue should be in the $22 million to $25 million range while derm companies tend to tout a revenue multiple of 3x to 5x. Thus, a potential investor can benefit not only from the strong derm product growth and reaching breakeven, but also from the potential expansion of the multiple without having to worry about stock dilution. With that I'll turn it over to the operator for Q&A.
Operator: Thank you, sir. [Operator Instructions] Our first question will come from the line. I've Jason Kolbert with Maxim. Please proceed.
Jason Kolbert:
Bob Miller:
Jason Kolbert:
Bob Miller:
Jason Kolbert:
Bob Miller:
Jim Schutz:
Bob Miller:
Jason Kolbert:
Bob Miller:
Jim Schutz:
Jason Kolbert:
Jim Schutz:
Bob Miller:
Operator: Thank you. Our next question will come from the line of Shane Martin, Stonegate Capital Partners. Please proceed.
Shane Martin:
Jim Schutz:
Shane Martin:
Jim Schutz:
Shane Martin:
Jim Schutz:
Bob Miller:
Jim Schutz:
Shane Martin:
Jim Schutz:
Dan McFadden:
Shane Martin:
Bob Miller:
Jim Schutz:
Shane Martin:
Jim Schutz:
Bob Miller:
Operator: Thank you. Our next question will come from the line of Chris Irons of QTR Research. Please proceed.
Chris Irons - QTR Research:
Bob Miller:
Chris Irons - QTR Research:
Bob Miller:
Chris Irons - QTR Research:
Bob Miller:
Chris Irons - QTR Research:
Bob Miller:
Chris Irons - QTR Research:
Bob Miller:
Chris Irons - QTR Research:
Bob Miller:
Chris Irons - QTR Research:
Bob Miller:
Chris Irons - QTR Research:
Bob Miller:
Jim Schutz:
Bob Miller:
Chris Irons - QTR Research:
Bob Miller:
Chris Irons - QTR Research:
Bob Miller:
Jim Schutz:
Operator: Thank you. Our next question will come for the line of Andy Summers with Janus Capital. Please proceed.
Andy Summers:
Jim Schutz:
Andy Summers:
Bob Miller:
Jim Schutz:
Bob Miller:
Andy Summers:
Bob Miller:
Andy Summers:
Bob Miller:
Jim Schutz:
Bob Miller:
Andy Summers:
Jim Schutz:
Bob Miller:
Andy Summers:
Jim Schutz:
Andy Summers:
Bob Miller:
Andy Summers:
Bob Miller:
Andy Summers:
Bob Miller:
Bob Miller:
Jim Schutz:
Bob Miller:
Bob Miller:
Bob Miller:
Bob Miller:
Bob Miller:
Bob Miller:
Jim Schutz:
Bob Miller:
Bob Miller:
Bob Miller:
Bob Miller:
Operator: Thank you. [Operator Instructions] It looks like we have a follow-up question from the line of Jason Kolbert with Maxim. Please proceed.
Jason Kolbert:
Bob Miller:
Jason Kolbert:
Operator: Thank you. Our last question will come from [indiscernible]. Please proceed.
Unidentified Analyst:
Jim Schutz:
Unidentified Analyst:
Jim Schutz:
Unidentified Analyst:
Jim Schutz:
Unidentified Analyst:
Jim Schutz:
Unidentified Analyst:
Bob Miller:
Unidentified Analyst:
Bob Miller:
Unidentified Analyst:
Operator: Thank you. There are no further questions in queue. So at this time I would now like to hand the conference over to Mr. Jim Schutz, Chief Executive Officer, for closing comments or remarks. Sir?
Jim Schutz: Thanks everyone for joining us for this call and for your continued support. We feel - Bob and I feel that Sonoma is in the best shape we've ever been for a couple of reasons. So we're executing on our turnaround strategy in a very attractive dermatology market with a growing experienced sales team, robust and unique products, and a nice pipeline. Our next step is to drive to commercial breakeven which we think will positively impact stock prices. Our current cash of $20.5 million enables us to step on the gas pedal in growing the sales force with no dilution to shareholders. And three, our EBITDA's breakeven plan is rather straightforward; we're going to hire new sales reps, we have solid pipeline of new products, we're going to continue to grow the sales of our current products and Bob's going to gently increase prices consistent with other comparable products. So we think we have the foundation and building blocks to achieve breakeven again at the risk of repetition [ph] without dilution of shareholders. So we look forward to sharing our progress as we build this company to becoming a pure play multi-technology dermatology company, and achieving our greater purpose of relentless fashion for healing. So thanks very much.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the program and you may all disconnect. Everybody have a wonderful day.